Operator: Good morning, ladies and gentlemen, and welcome to the Amadeus Q3 2024 Results Conference Call. At this time, all lines are in a listen-only mode. Following the presentation, we will conduct the question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Luis Maroto, President and CEO. Please go ahead.
Luis Maroto: Good afternoon, and welcome to our '24 9-month results presentation. Thank you very much for joining us today. I'm joined by our business heads, Decius Valmorbida and Paco Perez-Lozao. I will start today's presentation with a general overview of our results and the most important recent developments at Amadeus. Decius and Paco will then cover our segment business reviews, and I will end the presentation by reviewing the key aspects of our financial performance. Before we get started, I wanted to update you on our CFO executive search process. This process is well underway and receiving all the attention and resources it merits. At Amadeus, we are fully committed to attracting the best talent. However, we have nothing more concrete to share with you at this point. Please turn to Slide 4. In the first nine months of the year, Amadeus continued delivering a double-digit growth evolution with enhanced profitability, delivering EBITDA and EBIT margin expansions. Group revenue increased by 13%. EBITDA grew 13%, operating income increased by 17% and adjusted profit grew by 17%. Our free cash flow generation in the nine months period came close to EUR1 billion and leverage at the end of the period stood near 1 times net debt to last 12 months EBITDA. Given our solid financial performance of the first nine months of the year and our continued confidence into the fourth quarter, we confirm our '24 outlook. As we'll discuss shortly, we have had double-digit growth evolutions across all segments, Air Distribution, Air IT Solutions and Hospitality & Other Solutions. I'm particularly pleased to highlight that in Air Distribution, revenue has increased by 10% year-to-date over prior year, supported by steady booking growth and unitary booking revenue expansion. Amadeus bookings in the third quarter grew by 4.4%, accelerating over second quarter, driven by stronger demand and our growth in NDC bookings. We aim to become the undisputed aggregator in NDC bookings for airlines and travel agencies. We are progressing well on our NDC strategy. Airlines are signing NDC agreements with Amadeus at a good pace, demonstrating airlines want to distribute their NDC content through and to be present in the Amadeus Travel Platform. As Amadeus expands its NDC content offering, we'll be capturing more and more NDC bookings in the future. We are working to make NDC possible at scale through our GDS. We believe we have the most advanced and comprehensive NDC technology in the industry, and we will play a key role in scaling NDC adoption. Amadeus is also leading the airline industry's retailing transformation. We are pleased to officially introduce Navitaire Stratos to the airline market. Navitaire Stratos is our new generation retailing portfolio for low cost and hybrid carriers. It delivers dynamic end-to-end traveler-centric retailing capabilities as well as cost efficiencies and enables flexible and seamless partner integrations. We are investing into becoming the IT provider of reference to the hospitality industry. Implementations of Marriott and Accor to join IHG on our hospitality platform are advancing well. We are creating a global community of world leading hotels on a mission to transform relationships with guests. Finally, we continue to see a wealth of opportunities to create value for our customers. Amadeus is focused on the future and committed to innovation. Through the period, we have continued to invest decisively in our technology and across our strategic initiatives, leveraging our cloud native architecture, AI, data centricity, openness and self-service capabilities. Our ability to invest while maintaining our strong financial structure is a competitive advantage that allows us to lead in our markets and to anticipate and serve customer needs effectively. Decius and Paco will now run us through the key developments at each of our reported segments.
Decius Valmorbida: Thanks, Luis. Hello, everyone. This is Decius. We're now on Slide 5, where we start with Air Distribution. So as Luis was saying, we continue to advance on our NDC strategy. Delta, Virgin Australia and IndiGo have recently signed NDC distribution agreements with Amadeus to have their content present on the Amadeus Travel Platform. We are particularly pleased to announce the NDC agreement to distribute IndiGo's NDC content as we're going to have a better content available to travel sellers in India as well as around the world. This represents a very important milestone for Amadeus as it reflects our potential growth opportunity to distribute low-cost carrier through our GDS. We believe that low-cost carrier market adoption of the NDC standard will support LCC distribution through the Amadeus Travel Platform. Additionally, India is a very large, high-growth strategic market for Amadeus and IndiGo, a fast-growing, innovative low-cost carrier that happens to be the leading Indian airline. We currently have over 60 NDC agreements signed with airlines, of which 29 have been implemented in our travel platform. Also, the vast majority of our travel agency base now has access to and can service NDC content through the Amadeus Travel Platform. So we expect to see overall adoption of NDC in our GDS channel to gain traction gradually. The average weight of NDC bookings over the total bookings of these 29 airlines producing NDC bookings on the Amadeus Travel Platform is in the teens. We have examples of specific large airline customers who are leveraging the synergies between our Altea NDC and our Amadeus Travel Platform are achieving much higher NDC penetration rates. We are talking about close to half of their bookings being processed through NDC connections on our travel platform. Now in regards to our volume evolution. In the third quarter, our bookings growth accelerated over our growth in the second quarter to 4.4%, supported by a stronger booking demand and continued high NDC booking growth. At September year-to-date, Amadeus' bookings grew by 3.4% over prior year and Air Distribution revenue increased by 10%. Amadeus NORAM bookings continue to be impacted by the reconnections between one very large OTA and a few large carriers in NORAM impacting our NORAM local bookings that has had marginal impact on revenue growth as it affects low fee volumes. But excluding the workday effects, the NORAM local bookings impact, Amadeus' bookings grew 7.9% in Q3 and 7.8% at September year-to-date versus prior year. APAC was our fastest-growing region, while Western Europe and NORAM are our largest regions. For Q4 2024, we expect volume evolution to be stronger in Q3 as in Q4 last year, we had the breakout of the crisis in the Middle East with cancellations spiking and we had the NORAM local booking effect starting, which now will start to lap as of Q4. So let's turn to Slide 6 for a review of Airline IT Solutions. Again, as Luis mentioned, we are pleased to introduce Navitaire Stratos to the airline market, previously referred to as Navitaire Stratos is our next-generation retailing portfolio for the low-cost and hybrid carrier market, offering dynamic end-to-end traveler-centric retailing capabilities, enabling flexible and seamless partner integrations under offer and order standards. Regarding our Airline IT business developments over the third quarter, we upsold Airline IT Solutions to customers such as Qatar Airways, Eurowings, Philippine Airlines and Royal Air Maroc. In Airport IT, we have new signatures and implementations with several airports, including Group ADP. In relation to our passengers boarded volumes, in the third quarter of 2024, Amadeus passengers boarded grew 8.8% over prior year, resulting in a September year-to-date PB evolution of 12%. This evolution was driven by organic PB growth and positive nonorganic effects from the implementation of Etihad Airways, ITA Air Airways, Hawaiian Airlines, Bamboo Airlines and Allegiant Air in 2023 and Vietnam Airlines in Q2 2024. APAC was our fastest-growing region, while APAC and Western Europe remain our largest regions. And with that, I now pass on to Paco.
Paco Perez-Lozao: So thank you. Good afternoon. This is Paco. I'm pleased to be here. So please turn to Slide 7 for an update on our third segment, HOS. Starting with Hospitality. As Luis mentioned earlier, we are advancing well with the implementations of Marriott and Accor joining IHG on our new-gen CRS platform. Amadeus is creating a community of world-leading hospitality players that will run their core technology on our platform and who are on a mission to transform relationships with their guests. We believe Amadeus Hospitality offers the most comprehensive portfolio of core capabilities and the most broadly connected ecosystem of partners in the industry. We're excited with the growth opportunity ahead, not only with our next-gen CRS community, but also across all our business domains in hospitality. For example, the destination marketing organization of Puerto Vallarta is now part of our DMO business. DMO means tourism offices and convention centers, which is growing nicely and where we are now nearing 100 customers globally. Also Starcar in Germany joins us as a new car rental company on our B2B mobility, mobility means here car and transfers platform, which is the largest of its kind in the industry by count of bookings and which is used, for example, by some of the largest OTAs and TMCs in the world. Regarding our developments in payments during the third quarter, Outpayce established a partnership with a leading European low-cost airline and will be tokenizing customer card details for the carrier. IATA and Outpayce have also partnered and airlines will be able to accept payments made with IATA Pay to Outpayce Xchange Payments Platform. In the first 9 months of '24, the Hospitality & Other Solutions segment revenue grew by 13% versus '23. Both Hospitality, which generates the majority of the revenues in this segment, and payments delivered double-digit growth evolutions. The key contributors to revenue growth in Hospitality in the first 9 months of the year were, first, sales and event management, service optimization and central reservation system revenues within Hotel IT. Second, digital media and distribution revenues, backed by a healthy expansion in media transactions and bookings. And third, business intelligence driven by new customer implementations. At payments, revenues delivered strong growth on the back of customer implementations and volume expansion. I will now pass on back to Luis.
Luis Maroto: Thanks, Paco. Let's move to Slide 9 to review our revenue evolution in the first nine months of the year. Our revenue grew by 12.6%, supported by double-digit growth across our segments. In Air Distribution, revenue was 10% above prior year, primarily driven by the booking evolution we described and by revenue per booking growth of 6.4%, driven by a positive booking mix effect and pricing effects, including impacts from inflation and yearly price adjustments, contract renewals and new agreements. As we have seen throughout '24, we expect revenue per booking growth to moderate into fourth quarter from the quarter three growth. With regards to Air IT Solutions, revenue grew by 16.2%, driven by the PB volumes evolution, coupled with a 3.8% higher revenue per PB. The increase in the revenue per PB primarily resulted from positive impacts from inflationary price adjustments, upselling of incremental solutions and the Altea/New Skies customer mix as well as fast growth of our Airline Expert Services Business and growth in Airport IT revenues, including Vision-Box revenues. Regarding Hospitality & Other Solutions, as Paco described before, revenue was 12.9% above prior year, driven by strong performance of both Hospitality and payments. Although we have seen a strong performance in the Hospitality segment year-to-date with a 13% revenue evolution, it is a bit softer than what we expected at the beginning of the year due to a slower-than-anticipated evolution in payments. Nevertheless, we should end the year comfortably in the low double-digit growth range or possibly in the teens. On Slide 10, we will review our EBITDA, EBIT and profit evolution in the first nine months of the year versus prior year. Please note, we are excluding acquisition-related costs associated with the '24 M&A transactions as well as some below EBIT effects in '23 from tax-related matters. At September year date, our EBITDA was 13% higher than prior year, and our EBITDA margin expanded by 0.3 percentage points to 13.3%. Our EBITDA performance resulted from the revenue evolution I described before, a higher cost of revenue and an increase in personnel and other operating expenses. Cost of revenue grew by 12.2%, mainly resulting from Air Distribution variable cost growth, driven by bookings growth and customer and booking mixes as well as Hospitality's higher volumes and payments' B2B wallet business expansion. Our P&L fixed cost increased by 12%, mostly driven by increased resources, particularly in our development activity to support our R&D investment, coupled with a higher unitary costs, higher transaction processing and cloud migration costs and the M&A consolidation impact. As we have discussed this year, we expect our fixed cost growth in '24 to be lower than in '23, excluding the M&A impact. Below the EBITDA line, D&A expense increased by 4.9%, mainly derived from higher amortization of internally developed assets. The increase in EBITDA, coupled with our D&A expense evolution drove EBIT up by 16.9% and EBIT margin expanded by 1 percentage points to 28.6%. Finally, adjusted profit grew by 17.4% as a result of our EBIT growth and the higher net financial expenses and taxes we have cut relative to prior year. Please turn to Page 11 to review our R&D investment and CapEx over '24 first nine months. Our R&D investment grew by 18% over prior year, and it has focused on the evolution of our portfolio for airlines, including Amadeus Nevio and Navitaire Stratos, the evolution of our hospitality platform, enhancing our solutions for travel sellers and corporations as well as for airports and our payment solution portfolio. Our migration to the cloud and our partnership with Microsoft bespoke and consulting services provided to our customers as well as customer implementations. Our CapEx increased by EUR66 million or by 14.4% in the first nine months of '24, mainly driven by higher software capitalizations, partly offset by a EUR17 million collection from a sales and leaseback transaction over our data center in Erding in Q2. CapEx represented 11.4% of revenue in the nine-month period. We expect CapEx to grow faster in quarter four than in quarter three versus prior year, as expected. On Slide 12, we review our free cash flow generation and leverage. In the first nine months of the year, we generated EUR975 million of free cash flow, representing a 7.3% increase over prior year. If we exclude the nonrecurring collections from tax proceeding we had, which were EUR43 million in quarter two '23 and EUR9 million in quarter three '24. This free cash flow growth resulted from an increase in EBITDA and improved change in working capital outflow and growth in CapEx and cash taxes. Excluding taxes, our pretax free cash flow increased by 15.7% at September year-to-date '24, also excluding nonrecurring tax-related collections. Our cash taxes in '24 are now more aligned with pre-pandemic levels as we have here taxable income, and we are no longer benefiting from positive tax effects associated with the pandemic such as net operating losses. Net debt amounted to EUR2.511 billion at the end of September, EUR370 million higher than at the end of December due to the acquisition of treasury shares under share repurchase programs, the dividend payment, the acquisition of Vision-Box and Voxel, partly offset by our free cash flow generation. Leverage amounted to 1.09 times net debt to EBITDA at the end of September. With this, we have finished the presentation and are ready to take any questions you may have.
Operator: Thank you. [Operator Instructions] And your first question comes from the line of Adam Wood with Morgan Stanley. Please go ahead.
Adam Wood: Hey, good afternoon. Thanks for taking the question. I've got two, if I could. Just first of all, on the slightly softer guidance in the Hospitality business. Mid-teens to low double digits. That suggests a pretty significant move if it is all in the payments. So maybe first of all, could you confirm it is all in payments and not some weakness also on the Hospitality side? And maybe could you give us a little bit of an idea of what's happening in payments? Is that new customers that are taking longer to onboard or not coming on? Or is it like-for-like business that's just been softer in that business? And then maybe secondly, if you could talk a little bit around the strategy with Navitaire Stratos. I think from some conversations we've had, we'd understood that Navitaire was already pretty well aligned with the order offer, but it seems like there's a new product initiative here. Could you just maybe talk us through the strategy there, the pricing differences versus core Navitaire and how you keep that separate from Nevio so we don't see cannibalization of the Nevio with what I assume is a lower product, Stratos' product? Thank you.
Luis Maroto: Yeah. Let me start with the first question and then Decius will also elaborate a bit more about payments and Navitaire Stratos. But yes, I mean, we have seen a delay in what we had originally anticipated for payments. So we expect that the growth -- I mean, the growth has been healthy, but below what we anticipated at the beginning of the year. Decius, would you elaborate a bit more?
Decius Valmorbida: Yeah, sure. Yes, payments has been growing double digits. But as Luis mentioned, we were expecting a higher growth rate. We had essentially delays, let's say, this way, into onboarding customers. I mean, we expect to have an international expansion of the business, and we have had difficulties, particularly in Asia Pacific, with the implementation. So that creates delays. But I think in terms of potential and growth for our midterm, we continue to be very optimistic about it because these customers are signed. And once they are implemented, we're going to see the growth. And second, because in Europe, where we have most of the volumes, thanks to the new license, we expect as well that, that is going to be producing good results in terms of profitability. So we continue to be positive. On the Navitaire Stratos question, I think that what we see is the world of network carriers and the world of point-to-point business continues to be very much split, let's say, this way. So we do see an evolution of low-cost carriers now for part of their traffic looking into what could be more interconnected business, but one thing to keep that majority of the business of point-to-point is still on the proposition that we have in Navitaire, thus, the need for these upgrades that we have with Stratos. Number one is by fully embracing -- they are already ticketless, but by fully embracing offer and order, we feel that the integration of IndiGo with the network carriers is going to be easier. So it's like, yes, we do feel that there is an upside in there. And as there is an upside for the customers, we expect as well to have some level of upside in fee from these customers on traffic. And then last obvious point is being an Airline IT Solutions game, this is a game of continuous innovation. So thus, we have Navitaire and New Skies, which is a product that has close to 2 decades now, and we're doing a technology refresh to make full use of cloud and all of the new technology possibilities that the current technology exists, and we are taking the opportunity of doing that refresh as well.
Luis Maroto: And as I have the opportunity to have here with me today the business heads, Paco, would you like to provide a bit more color on Hospitality?
Paco Perez-Lozao: I mean, the momentum continues unchanged, and our plans and our prospects continue unchanged. I mean, all good.
Luis Maroto: So Hospitality, I mean, within the segment is doing according to what we had originally expected. And the main gap we have created is with payments that we expected to really contribute a bit more in the growth of the segment.
Adam Wood: Helpful. Thanks very much.
Operator: And your next question comes from the line of Alex Irving with Bernstein. Please go ahead.
Alex Irving: Hi, good afternoon. A couple from me, please. So first of all, following on the Stratos question. If I understand it right, one of the core selling points here is connection with network carriers, almost like an interline without an interline agreement. But if network carriers are trying to build close relationships with their customers, how do you see that readiness to allow third-party airlines, point-to-point airlines to terminate that traffic? Second question, you mentioned earlier on that airlines with NDC content on the Amadeus Travel Platform have a booking rate in the teens. For booking with these airlines, how does TMC and leisure agent behavior differ in their split of NDC versus EDIFACT? What needs to happen to close that gap? And finally, we saw Riyadh Air in the last quarter chose to go with a competing solution for its IT architecture rather than Nevio. Can you please provide some color on why you think you are not selected? Thank you.
Decius Valmorbida: Alex, look, I got two of your three questions. So let me start with the adoption of different, let's say, travel agency segments to NDC. So obviously, we have a much higher adoption on OTAs because these are travel agencies that essentially are used to receiving an API and, let's say, provide a lot less servicing and a lot less changes in the tickets than what we're talking about TMCs and retail agencies. So let's call it, as the NDC technology is more mature on that part of the process, it means that OTAs are using a higher percentage and as well based on the commercial strategy of airlines, which is creating a differentiation in pricing between what they're offering on their NDC API versus their websites. OTAs are more price sensitive because they have the leisure customer that is buying there and thus, they have a stronger inclination of wanting to have the best price. So the flip going of that is on the TMCs and on retail agencies where they have customers that are less price sensitive and more service-sensitive. So it means that these agencies will expect to have full servicing capabilities before they switch because for their travelers, it's more important that the servicing works than actually the price differential that the EDIFACT versus NDC may happen. So that's why you have that difference. Again, we are having progress across the board. So of course, OTAs, as they adopted first, are higher than average. And then we have retail agencies and TMCs who are lower than average in order for us to get those teams. But we see triple-digit growth, let's say, this way, in all of the segments in terms of adoption. So that was one. On Stratos. Of course, you have one element which is terminating traffic. But again, not every low-cost carrier has that business strategy. We're talking about some carriers that have become, let's say, the major carrier on their market. So yes, they see an opportunity on terminating traffic. But you still have a number of very successful low-cost carriers that believe that their growth will continue to be hardcore point-to-point. So it's like if you look at the Europeans or the American carriers that are very much, how can I say, point-to-point strategy. And if you go to regions like Latin America and Asia Pacific, then you're going to see more this possibility of terminating traffic. So Stratos is for everyone. So for part of the market that is looking into terminating traffic, yes, we're going to create those capabilities. Work for the rest of the market, we have much more sophisticated dynamic pricing possibilities. We have much greater unbundling and new types of services that we can create. We have operational efficiencies. We can leverage AI, cloud. So I mean, there are a number of other reasons why we would do Stratos versus not having it. I think that the question around cannibalization of the 2 product lines has existed for decades now, and I think that we have been able to manage the 2. And while the business models are so different, we don't see that risk materializing. We just see an opportunity on both parts of the market of us providing more services than what we provide today. And I don't have your third question.
Luis Maroto: If I understood properly, had to do with competition with Sabre.
Alex Irving: Yeah, particularly with -- you saw one airline namely Riyadh, [indiscernible] blank sheet of paper and selected solution that wasn't Nevio. So I wonder if you could provide any color on what you maybe heard in the bid process, how it changes your view on the product or the go-to-market strategy going forward?
Decius Valmorbida: Okay. So from our point of view, Nevio, key objective of Nevio is providing the Amadeus customer base with the possibility of doing the transition from the current PSS environment into offer and order world. And we believe that by doing that, we're going to be able to capture a premium. So I think that is the core number one. Number two is you have maybe other airlines who have given other choices. I think this is a race where it's going to be decided by the ability to deliver. So I think that we're all going to be watching what is the delivery capabilities of these competitors. I mean, we never imagined that we would be alone. So I think it depends very much if you're coming from a greenfield point of view or if you're coming from a legacy point of view. We believe that the vast majority of airlines come from having a PSS, and that is where we believe -- be it our PSS or being a competitor's PSS, we believe that we are the safest route of that upgrade because we understand PSS. But yes, maybe there will be a few completely greenfield airlines that maybe they can choose something else. But we find that, that is more of an exception than the rule of the market.
Alex Irving: Thank you very much.
Operator: And your next question comes from the line of Sven Merkt with Barclays. Please go ahead.
Sven Merkt: Good afternoon. Thanks for taking my question. First, I wanted to ask on the cost growth in Q3 that has been a bit lower than expected, and I think that then you have indicated also previously. Can you comment what level of cost growth we should expect in Q4 and whether there should be a catch-up effect in Q4? And then secondly, I wanted to also ask you on the revenue per booking. It has been growing still at a very good rate in Q3. I know you guided this to come down in Q4, but can you comment, to what level perhaps, also considering now the growth of NDC bookings that you're having? Thank you.
Luis Maroto: I mean, as you know, for the revenue growth, there are a number of effects. We have also told you that during this year, and I have provided you with some key points of why the increases. But part of the increase also had to do with our booking mix and the fact that we lost or we had some lower local bookings, especially in the U.S. as we had the case that we have provided you. And as this matures, we expect bookings to be higher, but of course, these effects will not be here forever. And therefore, we expect, again, that the booking mix is not going to be so favorable as we have seen in the past. Saying that the rest of the effects that have been positive for us in terms of negotiation, in terms of inflation, including already in the figures, the NDC growth has been considered. Still, there will be a growth, but progressively, as we recover further booking growth, the mix will be higher booking and lower growth in terms of booking fee. And this is what we have provided you as a guidance for the last part of the year. Whereas with the cost growth, look, this is always there, always some seasonality. We have guided you for the full year. There are always ups and downs. Overall, we keep investing. We have guided you for a figure that should be below the number of '23, excluding our acquisition costs, and this is what we plan to achieve at the end of the year.
Sven Merkt: Thank you for the details.
Operator: And your next question comes from the line of Victor Cheng with Bank of America. Please go ahead.
Victor Cheng: Hi, good afternoon. Thanks for all taking my questions. A couple, if I may. I guess, first of all, any comments on Turkish Airlines renegotiation, I guess -- and also, do you benefit any from it as your competitor lost content since start of September? And then secondly, how should we think about maybe the risk of Alaska and Hawaiian merger, having Alaska historically aligned -- the acquired airline with their own PSS? And then thirdly, can you talk a bit about India market, market share and believe you obviously expanded Air India content since start of the year and now with IndiGo as well, that seems a big kind of market expanding. But also on that note, how should we expect on unit economics? Should we expect lower unit economics on the opportunities coming from low-cost carriers in general? Thank you.
Decius Valmorbida: Hi, Victor, thanks. Let me start with India. So in regards to the comments around how these individual elements they affect the overall and the mix. That is always very difficult for us to speak specifically about any of the points. Because, I mean, these are probably three very visible effects that you mentioned, India, Turkish and some other content. But it is like that's why we end up doing an average now and passing you the guidance and the information based on the average basket of everything. So -- but adding some color into each of the comments. In terms of India, we are optimistic about the market. I mean, we have been doing business in the market with a clear discrimination of content up to now. We feel that those content discriminations have disappeared. We believe that by having Airline IT Solutions in the market, it means that now we are even going to have synergies with our Airline IT business. So we are optimistic. Being a market that is so big that intends to continue to be big and the fact that we are increasing share, it's something that we believe compared to how our business was in 2019, creates optimism in terms of what can travel distribution deliver moving forward. Regarding to Turkish Airlines, we do not see their behavior very different than the other 60 agreements and probably increasing as we continue signing -- behavior than other customers. So I mean, I think we have seen a bit how these things happen. It's very early to tell, okay? I would say the effect has happened in September. So let's call it, Turkish did not have a big influence on what has been the result of the quarter. We're going to see Turkish position more in the Q4, but we had in our estimations and when we provided our guidance on Q4, we knew that, that negotiation was going to take place. So let's say, so far, no surprises. We remain optimistic that we're going to reach an agreement with Turkish. Now what's going to happen to our competitors? That is the part that is very difficult for us to predict. So then it's -- yes, depending on how it evolves, it can be more beneficial or more neutral to us depending on how it happens with the others. I think that on the last point, it is around mergers. No, around --
Victor Cheng: Alaska, Hawaiian PSS.
Decius Valmorbida: Look, I mean we're always -- let's say, having so many clients, we're always exposed to those kind of risks. Sometimes that means we're going to win. Sometimes it means we're going to lose. I think on the midterm, it doesn't create a lot of, let's say, change in terms of competitive positioning. And we'll see. I think that we're participating on the RFP. We still have our hopes. But as you said, typically, the company that buys it is the one that dictates the terms. So it's like, look, let's say, we'll continue fighting. We'll try to prove our value. But again, it is not only PSS that we sell now. So what I'm saying is, there is a PSS decision, but there is a revenue management decision. There is an e-commerce decision. There is many other decisions. So I'll say, independently of the decision, the PSS, I believe that we can be useful for the merger and to many other clients in terms of what we can offer. So we remain positive.
Luis Maroto: Yeah. And look, we work already with both airlines, okay? It's true, we are not providing both the PSS, but we provide other functionalities. So as Decius said, we expect to really be constructive in this merge and at the end, get business from this new created airline. And in India, just to complement what Decius explained, I mean, we have seen already very strong growth in the last quarter. So the fact that we are getting our local content, our focus on India is already having an impact in our figures and in our economics. Of course, the mix may change. It's impossible around the world. We have many markets. You get more domestic, more local bookings. Of course, this has an impact in the mix. But in the guidance and in the results, that has been already included part of this growth in the domestic traffic of India.
Victor Cheng: Great. Thank you. Congrats on the strong quarter.
Operator: And your next question comes from the line of Toby Ogg with JPMorgan. Please go ahead.
Toby Ogg: Yes, hi. Thanks for the questions. Three from me. Perhaps just firstly, just on the -- just to follow-up on the payments delays. You talked about some international expansion difficulties in APAC with implementations. Could you just give us a bit more detail on what's driving the delays in the implementations? What you're assuming for when those delays get resolved? And then what gives you the confidence that they will resolve without further delays? Secondly, just on the EBITDA margin. So currently, you're running at 30 basis points of expansion year-to-date and the guidance for the full year is broadly stable, which would imply the Q4 EBITDA margins would deteriorate about 100 bps year-over-year. So could you just help us with some of the cost dynamics in Q4 that would specifically drive that? And then just lastly, just on the capital allocation side, could you give us an update on how the M&A pipeline is looking? And I guess, absent of any M&A, with the leverage coming down, could you give us a sense for what the conditions would need to be for you to consider a buyback? Thank you.
Decius Valmorbida: Okay. Let's start with the payment question. Look, our business in payments is very much an orchestration business. So it means that it requires us and our value comes from the reconciliation of the job that the travel seller is doing. So the job that the point of sale is doing plus the job of the merchant, what they're doing, plus the financial institution, partners and so on and so forth. So it is like when are we having problems on that kind of implementation, it is typically because we're working with new partners, new subscribers, let's say, new merchants and that is the reality when we're moving from one geography for another, essentially is payment that is very much local. So this means that every time, even though the core of the product works very well, as we are working with different partners, this can cause delay. So where it comes, our confidence is that we're taking the corrective actions in order to get those connections working, and we feel that the production is going to resume. So why we are not concerned about the overall business is that the biggest growth and the biggest driver of growth of this business is Europe. And in Europe, we're talking about a 10-year stable, more mature situation in terms of this product. And thus, okay, we had a hiccup of a quarter because of the international expansion, but we expect that we're going to get back on track and continue delivering growth. And again, reminding we're growing double digits. So it's more -- we're more optimistic than what the business is performing, but the business continues performing well.
Luis Maroto: Okay. So when we talk about EBITDA, look, when we say broadly stable, of course, we are not trying to be absolutely accurate about zero, okay? It could be slightly up, slightly down. Yet year-to-date, we have in better. I mean, we are expecting in the last quarter, as we said, bookings to grow faster. Usually, this is linked to some increase in the incentives. Also the mix is playing a role. Whatever happens with the ForEx is playing a role in the way we operate with our margins because you can imagine, you increase revenues and you increase cost. So overall, there is nothing really specific for the last quarter. It's a matter of our business mix, our overall guidance for the year and how this is going to play out. So look, it's not that we are projecting a big deterioration. It's also true that as we move forward and we have the consolidation of the new acquisitions that we told you they have lower margin. But saying that, look, if things become normal, we should not eat what we have achieved up to today. Saying that, I mean, look, things may evolve, that may have an impact of 0.1, 0.2. So that's why we are not changing the guidance. But overall, we should be around -- between the current figures or whatever is flat, that should be the level. Again, as we always said, it will be that including the cloud costs. Excluding the cloud costs, will be positive. And this is why at the EBIT level, we also expect a margin expansion, okay, which is more significant than what we are talking about at EBITDA level. Yes. And the last question is about the M&A. I mean, look, we have not changed our approach. We have communicated to you a leverage target of 1 to 1.5 times. Our goal, and you have seen in the figures, is always invest in the business. And this is what we are doing with the explanation of all the projects we have in mind and it's the reason why you have seen an increase in our CapEx. Second is the M&A. We have done two acquisitions. We keep looking for potential acquisitions as we speak. And then if this is not the case, then we'll have -- and we are continuously having debates then what to do next, which should be further remuneration to the shareholders. So the logic is the same. The flow is the same. And as we move forward, of course, we keep the leveraging, we will communicate to you any decision we take absent of M&A opportunities.
Toby Ogg: That’s great. Thank you.
Operator: And your next question comes from the line of Charles Brennan with Jefferies. Please go ahead.
Charles Brennan: Great. Thanks for questions. I've got two actually. Firstly, just another follow-up on Hospitality, I'm afraid. Can you just talk about the current momentum in the context of the medium-term guidance that you've got out there? If you do low double-digit growth this year, getting to your medium-term ambition of 15 to 18 requires a pretty significant acceleration. Is it natural that we should assume that the lower end of that range is more realistic? And at what point do you think you'll actually get growth back into that range on a quarterly basis? And then secondly, can you just say something about CapEx? There's a lot of commentary in the presentation and the statements about accelerating CapEx. I think you were previously expecting this year to be the peak of CapEx as a percentage of revenue. Do you still expect that to remain the case? Or is your view of the peak pushing out to 2025? Thank you.
Luis Maroto: Let me start with this one. What you said is right. This is what we guided to you. That's why we expected completely what is happening with an acceleration in the third quarter and in the fourth quarter. We have a lot of projects. And we told you that the range is 11% to 13% with a higher figure this year, and this is what we expect. But it's not pushing to '25 or '26. We should expect as a percentage of revenue, some slow in terms of the growth and in terms of the percentage. It's exactly the same. We have not changed. And what we are doing is completely according to the plans we had originally presented to you. With regards to the first question was with the mid-term growth. Look, today, I mean, we feel we can achieve these numbers. Again, Hospitality is according to our plans. Of course, you have different years. But as you know, at one point, we expect the migration of our 2 big customers that should give us a boost, more in '26 than in '25, because the migration will happen as we move forward. And yes, these figures will depend on how we are able to perform at the end in the payment front. Our ambition has been big. We had big expectations. We are talking now about a delay. There is more variability and more volatility in the numbers of payments because we are talking about big growth. If we are able to really keep what was our original plan, and I think Decius explained well, into the coming years, then we should be able to really achieve these numbers. If we -- for whatever reason, there is further delay in the payment front, then we will communicate to you at the right moment.
Charles Brennan: Thank you.
Operator: And your next question comes from the line of Michael Briest with UBS. Please go ahead.
Michael Briest: Great, thanks. Good afternoon. Two from me. Just coming back on the outlook for distribution bookings in Q4. I think last year, you said that growth would have been similar in Q4 to Q3, so about 13% if you hadn't had the impact from North America and the terrorist events. So it's about 5 million to 6 million of bookings. Is that what you expect to make up in Q4? So we should see that plus whatever industry growth rate we factor in. And then just digging into the NDC bookings that you're seeing, thank you for the additional color. Do you have a sense whether you're winning those back from direct connects that those airlines previously used? Or are you coexisting with NDC aggregators and direct connect at those airlines, if you have any insight? Thank you.
Decius Valmorbida: Okay. Let's start with the later part of the question, which is we feel very much that we are now at a stage of substitution. So we're saying that bookings that we previously had as a defect now are being processed by NDC technology. So that's where we are now. I think that as a reminder, we said that reintermediation, it is not something that we have baked or included in our estimates. And in case we make progress in terms of reintermediation, I think it is something that we're going to come here, and we're going to talk to you. No, we do see interesting movements such as the one of IndiGo, because IndiGo is new content that was not available. So that one can be a potential new, how can I say? I don't know how we would qualify that case. If it is a new content of LCC, if that is considered reintermediation, but let's say, it would be additional to what we have had traditionally on the base of the GDS. On the estimates of Q4, for me, it is honestly very, very difficult to keep track, let's say, of everything that was happening in the base last year and what is happening now. For us, we believe that the two major events were the series of cancellations that we had last year because of Middle East and the other very large event was, let's say, the beginning of what was this large OTA with these U.S. majors taking content away. So it is like as we expect those two things to not be available, then it means that we're going to have a stronger Q4 than what we had in Q3. What is the part that is new that we don't know how to say it is, look, how will the traffic is going to behave in Q4, what is going to be market share reality, what is going to be -- so many other variables that we have. That's why it is very difficult for us to do a precise number versus last other quarter because you have some things that are stable, but certain things that have changed, but we maintain that Q4 is going to be stronger than Q3.
Michael Briest: Thank you.
Operator: And we do have your next question coming from the line of Fernando Abril-Martorell with Alantra. Please go ahead.
Fernando Abril-Martorell: Only one, please, is around the Airline IT pricing. So I've seen that unit revenues in Air IT have expanded by almost 5%. I don't know if you can please tell us how prices are evolving when excluding the impact of the contribution from Airport IT and Vision-Box, just to see the dynamics of the pure Airline business, let's say, with regards to upselling, traffic mix, price adjustments and so on. Thank you.
Luis Maroto: I mean, look, we're not providing this level of detail. What I can tell you is that it's expanding, definitely because we have this upselling. I also mentioned the service piece, okay, that is doing well and it's growing. So overall, the Airline IT business, excluding acquisition or excluding the airport piece, is growing healthy and the PB calculation -- the PB fee is also being positive and expanding.
Fernando Abril-Martorell: All right. Thank you very much.
Operator: As we have no further questions at this time. I would like to turn it back to Luis Maroto for closing remarks.
Luis Maroto: So thanks a lot for joining again, and we will talk about further details again with our full year results at the end of February. Thank you very much.
Operator: Thank you, presenters. And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.